Operator: Greetings and welcome to the Bazaarvoice First Fiscal Quarter 2016 Financial Results Conference Call. At this time all participants are in a listen only-mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] At this time I would like to turn the conference over to your host, Jim Offerdahl, Chief Financial Officer. Please go ahead.
Jim Offerdahl: Good afternoon and welcome to today’s conference call to discuss Bazaarvoice financial results for the first quarter of fiscal 2016 ending July 31, 2015. I am joined today by Gene Austin, our Chief Executive Officer. Following the remarks from Gene and me, we will have the question-and-answer session. Please note that we are simultaneously webcasting this call on our Investor Relations Web site at investors.bazaarvoice.com. The earnings release with our results for the first quarter of fiscal 2016 was issued after the market closed today. Please remember that certain statements made during this call, including those concerning our business outlook and guidance, growth plans and opportunities, potential acquisitions, outlook on legal matters, sales execution, and the ability to capitalize on our opportunities, are all forward-looking statements. Forward-looking statements are subject to a number of risks, uncertainties and assumptions that are described in our SEC filings, including the Risk Factors section of our Form 10-K for the fiscal year ended April 30, 2015 filed with SEC on June 25, 2015. Additional information will also be set forth in our future quarterly reports on our Form 10-Q and our reports on Form 10-K and other filings that we may make with the SEC. Should any of the risks or uncertainties materialize or should any of our assumptions prove to be incorrect, actual results could differ materially and adversely from those anticipated or implied in these forward-looking statements. We do not intend and undertake no duty to release publicly any update or revisions to any forward-looking statements made during this call. The divestiture of PowerReviews was completed on July 2, 2014. As a result of this, PowerReviews’ revenues, related expenses and loss on disposal net of tax are components of loss from discontinued operations in the condensed consolidated statements of operations since our fourth quarter of fiscal 2014 and all comparative fiscal quarters presented. The statement of cash flows is reported on a combined basis without separately presenting cash flows from discontinued operations for all periods presented. Some of the numbers that we will discuss today during this call will be presented on a non-GAAP basis. Today’s press release, together with accompanying tables, contains the calculations of these non-GAAP financial measures and its whole reconciliation between the corresponding measure, the GAAP measure and the non-GAAP measure including the reconciliations of GAAP to non-GAAP operating results from continuing and discontinued operations. With that I'd now like to turn the call over to Gene.
Gene Austin: Thank you Jim and thanks to all of you for joining us on our call today. Eighteen months ago I seized the reins of Bazaarvoice. Our business predictability was not strong, our client satisfaction low and we lacked a plan in product development. Since that time we've worked tirelessly to right the ship in client’s satisfaction, reintegrate innovation products in both products and services and drive stronger operational cadence throughout the business. All while we managed our way to the divestiture of the competitor and unique terms of the stipulation order handed down by the department of justice. All of you have demonstrated a lot of patience in a company that has been through more than its fair share of unusual circumstances. I can tell you that I personally have felt your pain and appreciate that many of you remain believers in the Bazaarvoice store. I'm confident your patience will be rewarded. Our hard work is paying off. I see green shoots of progress on many fronts. Our customers are happier. Today more than ever before, I see changeable evidence that clients satisfaction has improved. It is showing up in surveys, conversations and reports from the field. And as we all know happier clients buy more and renew at higher rates. The mix of our new products is healthy and new product penetration improves both bookings performance and client retention. For the second quarter in a row our mix of bookings from new offerings as a percent of total product bookings exceeded 25%. Our company is transforming into the role of consumer generated content experts giving our clients various solutions to put the most powerful marketing content, the voice of the consumer to work for their business. Next, we are returning to a normal competitive environment. The DOJ stipulation requiring us to release our clients from their contract without penalty, should they move to PowerReviews expired on July 8, for the majority of our clients. As a result we are seeing a much more normal competitive environment unfold, where we expect to win and retain our clients due to our strong line-up of solutions, services and overall value. Internationally, we have spent a good two years of investing in our people and products to succeed. And this is the year I believe we can see the type of performance we need from both Europe and Asia Pacific. While our first quarter internationally was weaker than we expected. I do expect better results going forward. Finally, we see significant value in our shopper data. As you know over 625 million unique in-market shoppers engage with the content provided by our solutions each and every month. As such we are now able to construct segments such as big screen TV shoppers, or Pet Food shoppers. We are now testing the efficacy of our data versus data from other sources and while it is early our first test results were very positive. I will expand on this later in my comments. These green shoots obviously did not come over night. They are the result of our over 800 employees focusing on the basics. Our client health and satisfaction and building solutions that make a difference, while not letting unique circumstances around the settlement with a DOJ deter. Let me now talk specifically to our first quarter of 2016. Bazaarvoice executed well in the first quarter. From the financial perspective revenue of 48.9 million exceeded the high end of our guidance range. During the quarter I was pleased with our overall performance in our SaaS business, while our advertising revenues came in softer than expected due to weakness in our programmatic business. Adjusted EBITDA loss of 3.3 million was also better than our guidance as we remained focused on achieving adjusted EBITDA profitability for the full year. We continue to push the pace of innovation and launched a new offerings, Spotlights during the quarter. With Spotlights our clients have the opportunity to enhance their SCO performance at the category level were most searches takes place. Overall, we are seeing good traction with our new consumer generated content offerings. While we experienced elevated dollar churn in the first quarter primarily due to the unique competitive environment were pleased our overall churn results came in better than we had anticipated and sequentially down from the prior quarter. While we estimate less than one quarter of the dollar value of our contracts are still subject to the stipulation, we expect dollar churn to significantly improve in the second quarter. Given the progress we've made on clients satisfaction I remain optimistic about the direction of dollar churn as the year unfolds. I'm pleased with the earlier reception of our new offerings and their impact on our competitive differentiation. One new client added during the first quarter is a specialty retailer that had previously been a client of PowerReviews. This retailer choose Bazaarvoice based on our ability to provide a fully-integrated solution for ratings and reviews coupled with Social Content Curations. In addition, they saw the opportunity to increase both the breadth and depth of consumer generated content on their website through our Brand Invite program allowing them to recruit brands to answer shopper questions or respond to reviews directly on their Web site. When our offerings were coupled with our strong commitment to client services, we had a solution that made a switch to Bazaarvoice very compelling. A year ago, our small and medium business team or SMB was focused on logo acquisition. During Q3 of last year we made the decision to shift our compensation toward booking’s value to emphasize larger, more profitable clients. As a result we have seen an uptick of over 25% in ASP's for clients acquired in SMB and expected the number of clients both acquired and launched in the first quarter declined compared on a year-over-year basis. We expect both of these trends to continue. Overall bookings for the first quarter were on track with our internal expectations, but we continue to see opportunities from proving both the consistency of our sales execution and overall productivity. North America, paced by our commercial and SMB teams delivered a nice quarter, while Europe and Asia Pacific had slower starts to the year. As I mentioned earlier, I do believe our international teams are poised for good FY'16 in terms of bookings. One organizational change is that Kelly Connery, our Chief Revenue Officer will be leaving Bazaarvoice. The sales organization will report directly to me while we complete our search for our new CRO. I want to thank Kelly for his many contributions to Bazaarvoice and wish him well in his future endeavors. Our next wave of growth is dependent upon our ability to successfully evolve our go-to-market strategy to a provider of consumer-generated content solutions inclusive of our emerging advertising business. I see this as a great opportunity to find the right sales leader to be the catalyst and driving force of that change. It is exciting to see how far we've come to reinvent our business. From our origins as a leader in ratings and reviews for brands and retailers we've added additional products and services like Curations, Local Sampling and now Spotlights to provide an unparalleled portfolio versus our competition. We are fortunate to have over 1,300 retailers and brands as active clients and through the power of our Brand Invite and Syndication services we have created a large dynamic network of active shoppers. Like any network the more it grows, the more valuable it becomes for all parties involved; retailers, brands and shoppers. Our network is the foundation of our future and here are some statistics which speak to its size and scale. Over 625 million active shoppers each month, 71 billion impressions in the first quarter, an increase of approximately 16% year-over-year, hundreds of thousands of reviews syndicated daily across the network, over a 100% year-over-year growth in syndication relationships within the network. The total number of brands and retailers now totals more than 5,500, thanks in large part to our Brand Invite program. As our network grows, not only do we have more opportunity to expand our SaaS based solutions, but we believe we have a very compelling opportunity to help brands and retailers reach in-market shoppers. We call this initiative Shopper Marketing and while we're early, we are optimistic about the opportunity. Shopper Marketing allows brands to reach a particular segment of shoppers with the right content at the right time whether that be in a digital display ad on a desktop or as part of their in-store experience with product promotions and purchase recommendations served directly to their mobile devices. We've made very good progress in building our pool of shopper data with a number of important retailers and brands. As I mentioned earlier we're running tests on how differentiated our first party data is when compared to commonly used ad-targeting sources. And so far we're very pleased with the results. Each quarter we see more progress in shopper marketing and we continue to be excited about the possibilities. In summary, the first quarter was a good start to the year. Our investments remained focus on four things, improving client satisfaction and retention, driving continued traction of our new product offerings, accelerating our efforts with our Shopper Marketing initiatives and improving our sales execution in productivity. I often use the word transformation to describe the journey we are on, transforming Bazaarvoice from a provider of ratings and reviews to a company that provides solutions for brands and retailers that helped them leverage the most powerful marketing in the world, the voice of the consumer. We believe in our future and look forward to reporting our progress to you over the course of the year. I will now turn the call over to Jim.
Jim Offerdahl: Thank you, Gene and thank you to everyone who joined the call today. Today we're reporting results for our first quarter of fiscal 2016 ending July 31st, 2015. For the first quarter, we achieved total revenue of $48.9 million, up 6% year-over-year and above our guidance range. We achieved SaaS revenue of $46.8 million, up 6% year-over-year. Advertising revenue, which we formerly called media revenue for the quarter was $2.1 million, up only 24% year-over-year as our programmatic revenue was less than desired. Adjusted EBITDA for the first quarter was a loss of $3.3 million better than our guidance range and continued improvement from a loss of $5.3 million in the same period a year ago, as we drive towards expected positive adjusted EBITDA for the full fiscal year 2016. Our non-GAAP net loss per share for the first quarter was $0.06. Before, I go into more detail on the quarter, note that in the first quarter we slightly modify our active client count methodology to gain more efficiency in our financial reporting. Previously, we counted an active client as an organization through which we've recognized revenue at any time during the last month of a quarter. Under our new methodology, we count an active client as an organization for which we have a contract and the client has launched as of the last day of the quarter. As a result, some clients who churned in last month of the quarter are counted as churned earlier. This change had minimal impact on our active client count number. Our client count number for the first quarter was 1,337. Under the new methodology compared to 1,363 under the old methodology. This slight modification impacts other metrics based on client counts, such metrics have been revised for prior periods and are available in the financial tables released earlier today. And the metrics I will review today are based on the new count methodology. As we've noted in previous earnings calls, we changed our sales compensation for our SMB sales reps several quarters ago to focus more on adding larger and more profitable clients. As Gene noted, our commercial and SMB sales teams perform better than expected in Q1. So we believe the change will made in their sales compensation is working well. As expected the change negatively impacted in number of new clients booked and the number of subsequent clients launched, which were 72 in Q1. The change positively impacted their dollars-per-launch client which increased for the second quarter in a row. We lost 66 clients in Q1, which translates to a client retention rate of 95%. Note that about one-third of the client losses in Q1 were smaller dollar SMB clients. We expect our client retention rate to improve in FY '16 as we've realized the benefits of our retention practices and as there are lower number of smaller SMB clients left to churn. Annualized SaaS revenue per average active client in the first quarter was $140,000, down just 1,000 from last quarter. Regarding advertising, our programmatic revenue was less than expected in Q1, as our retail publishers moved to stricter control on advertiser access utilizing a white list approach which resulted in lower sell-through rates and clearing prices. Looking forward, the remainder of the year should improve from Q1, with the keys being added sales capacity, building our white list and the timing of the ramp of our shopper advertising opportunity. Moving to our P&L, gross margins for the first quarter were 62% compared to 66% in Q1 of last year as we increased investment in retention by adding resources to our client care team and continued to incur higher amortization of capitalized software from our innovation investments. In addition, less than expected advertising revenue negatively impacted our gross margin this quarter. We continue to expect our gross margins to be in the mid-60s for the full fiscal year. Sales and marketing expenses for the first quarter were $17.7 million or 36.3% of revenue as compared to $19.8 million or 43% in the same period last year. For fiscal year 2016, we continue to expect a gain leverage as a percent of revenue as we gained more sales productivity from more products and services to sell. R&D expenses for the first quarter were $9.6 million, representing 19.6% of revenue as compared to $8.9 million or 19.3% in the same period last year. We continue to expect to grow our dollar investment in R&D for fiscal 2016 as we continue to innovate and invest in new products and solutions including shopper advertising to drive growth. G&A expenses for the first quarter were $6.3 million or 12.9% of revenue as compared to $7 million or 15.2% in the same period last year. We expect continued leverage in G&A in fiscal year 2016. Annualized revenue per employee was $236,000 in the first quarter and we ended the quarter with 834 employees. Moving on to the balance sheet, our cash positions remained strong with $103 million in cash and cash equivalents as of July 31, 2015. This includes a collection in Q1 of the $4.5 million from the sale of PowerReviews which had been held in escrow for the last 12 months. The outstanding balance on our credit line remain the same during Q1 at $57 million. Our DSOs are 95 despite record collections and as our mix of annual billings remain similar to the last quarter. Our deferred revenue balance was $65.4 million at the end of Q1 compared to $59 million at the end of Q1 last year and $62.9 million at the end of Q4. As I've said on prior calls measuring changing in deferred revenue is not to get proxy from bookings during the quarter as we typically have a varying mix of billing frequency with average upfront billings of less than one year. Moving on to cash flow. Cash flow, cash used from operations in Q1 was $6.3 million. As expected and as we noted in our last earnings call in Q1 we paid higher commissions related to Q4 bookings performance, fiscal year 2015 bonuses, customer summit-related expenses and hosting prepayments on a renewal of our annual hosting agreement. CapEx was $3 million in Q1 of which $2.3 million was capitalization of developed software as we continue to innovate our new products and solutions. Looking forward we continue to expect to make progress on a full year basis on our operating and free cash flows as our adjusted-EBITDA and working capital performance continues to improve. Even though we expect to incur approximately $10 million in capital cost for the build out of our new headquarters facility into which we plan to move in December 2015. Now I would like to finish with our financial outlook. For the full fiscal year 2016 we are maintaining our revenue guidance range of $202 million to $210 million, up 8% year-over-year at the midpoint of the range. We’re also maintaining the guidance for adjusted-EBITDA to be in the range of breakeven to positive $2 million and our non-GAAP net loss per share to be in the range of $0.12 and $0.16 based on 81.1 million weighted average shares outstanding. For the second quarter of 2016 we expect total revenue to be in the range of $49.2 million to $49.8 million which represents a 5% year-over-year increase at the midpoint. While this is below current consensus note that today is the first time we've provided revenue guidance for our second quarter fiscal 2016. Given that we've maintained our full fiscal year 2016 revenue guidance we believe consensus models have not adequately taken into account the higher seasonality of our advertising revenue in Q3. In addition, note that we expect our programmatic advertising revenue to continue to experience softness in Q2. We expect adjusted-EBITDA loss in the second quarter to be in the range of $0.9 million to $1.5 million. Non-GAAP net loss per share is expected to be in the range of $0.04 to $0.06 based on 80.7 million weighted average shares outstanding. I would like to remind everyone that we’ll be presenting at the Deutsche Bank Technology Conference in Las Vegas in September. With that operator please turn the call over for questions.
Operator: Thank you. At this time we’ll be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from Nandan Amladi from Deutsche Bank.
Nandan Amladi: The script sort of talked about all the changes you're making into improve customer satisfaction executing and so on, but the metrics that investors track generally look particularly promising. So how strong were bookings overall, aside from I think you mentioned 25% of bookings came from new products. Can you give us some other commentary on the underlying strength that we may not be seeing in the metrics as of yet?
Gene Austin: I guess I would go to couple of comments for you there Nandan. First of all on the client satisfaction area, when you factor out the unique competitive environment that we've been going through regarding the DOJ stipulation and its impact on churn, it's probably 30% to 40% of the churn has been from that kind of unique environment. So we can see -- and we can see that starting to move lower, much lower going forward, which I think will have a positive impact on growth. And I think at the same time our bookings performance was right on where we expect it to be for Q1 and I like the way the pipeline has built so far in August as we head in the remainder of the quarter. As you know we don't comment directly about bookings, but I'm pleased so far with where we’re in the quarter and what happened in Q1.
Nandan Amladi: Thanks. And then should we read to -- how should we interpret this change in the Chief Revenue Officer at this stage of, that you know -- you’re are obviously making changes to improve execution.
Gene Austin: Well you know we've had -- as the company has more, we've had a number of executives both come and go in the business and I think that's a healthy part of any company that's evolving, especially that a company that's transforming. In the case of our CRO, he was one of our sales leaders for the last four years, being CRO for the last 15 to 18 months, very tough four years for the company as you can imagine and we got to a point where we decided that a transition was the right thing for everybody involved.
Operator: Thank you. Our next question comes from Stan Zlotsky from Morgan Stanley.
Stan Zlotsky: So wanted to continue with the question that Nandan actually started there. On the new bookings -- sorry, the bookings from new product, the 25% that you guys reported. How has that number trended? Could you give us a sense for maybe, what was it a year ago, what was it in fiscal 2015 and possibly where do you see that number going as we proceed for the fiscal 2016?
Gene Austin: So a year ago it was really -- probably 5% or less. All of these products that we've announced had been relatively new to the market place and I think that's -- and so we've been obviously watching it very closely to see how well we transitioned as a business into selling a set of solutions versus kind of being a single solution provider. We think it can go higher than 25%, I'm not sure if its right to call it at this point, but when I look at the products Spotlights which is brand new is not really -- there has not been a lot of sales of it just yet, but the pipeline is very strong. Our curations product has been very consistent, sampling has been very important to a certain set of our customers, probably not a product that is going to be taken by a broad swap, but very important to one of our big retailers, and BV local had a great Q4 and softer Q1 but is our very big de-oriented product the organizations that I'm looking at for us have some very large opportunities as you head into the second half of this year from a bookings perspective. So for a company that's never been in this position before with the set of solutions. I think I'm comfortable with where we are at, it definitely takes a salesforce time to stimulate and be able to talk about all of those products in a cohesive way and I think we've made some good progress there.
Stan Zlotsky: Okay. And then just to continue that theme. When should we start thinking about these products becoming material contributors to your business growth?
Jim Offerdahl: Stan this is Jim. New products is 25% of our -- over 25% of our bookings given that we have a 190 million base or so of revenue. It’s going to take a while for them to actually impact the revenue growth but it will help us form a couple of ticks at least.
Gene Austin: This year.
Stan Zlotsky: Okay, great. And then one more on the media business. So looking through the rest of the year what kind of growth do you expect for the media business given the performance you just saw in Q1 -- advertising?
Gene Austin: I think we guided advertising last call to 60%. We still believe that's achievable, obviously the performance in Q1 is going to put a little bit of pressure on that growth, but at the same time Q3 is a very large quarter for the advertising business typically, so we still believe 60% is a possibility.
Stan Zlotsky: Okay, great. Thank you guys.
Operator: Thank you. Our next question comes from Scott Berg from Needham & Company.
Scott Berg: Hi. Jim and Gene. Congrats on a good quarter here. Couple of quick ones. First of all, Gene, you talked about pricing improving and seeing some positive changes in the competitive environments to return towards the normal level. Do you have any total kind of examples and what you are seeing two months into that change?
Gene Austin: Well. It is clear to me that the -- we are now, Scott, competing on the full value of our offering versus having to respond to someone picking up the phone calling our accounts and saying we’ll do exactly what they’re doing for half the price and you can walk any time you want to walk. So now normally in a SaaS business, since I’ve been involved in SaaS for many years, you do have these times when your customers call you up and they say I don’t know if I want to continue, I don’t know what -- how to look into the future and you have a chance to sit down, walk through what their concerns are, work through a plan on attack and a lot of times those conversations and engagements result in very positive developments in renewals and kind of a new birth of that relationship and the customer keeps going forward. When you are responding to, hey, you can walk, it's all about price, you have less chance to really sit down and be consulting it with the customer on how to go forward. So from a churn standpoint, we have a very strong lineup of new products and offerings that we can bring to the table on client retention. We now get to use our entire portfolio of capabilities, and so as I see that affecting churn going forward, I'm much more comfortable in how the trend line of churn looks now than I was six to nine months ago, when we were in this beginning of this unique environment. I think if you strip out the impact from PowerReviews, the Company year-over-year would be making progress on our churn goals and that’s something we said we wanted to do from the beginning when I had joined 18 months ago, and we would be on that trend line. So that has real impact down the road for the Company's growth. It is a lag effect because you take churn now but it actually hits the revenue in-out months and quarters, but as that all that churn go through the system we should start getting upward trajectory in the revenue growth from the churn contribution. Obviously, booking is the other side of it. The booking situation for our company continues to improve. We are continually focusing on productivity in sales execution. We see -- I think our international teams are poised for better performance than last year, which would be a good sign for us. And I think North America can have a good year as well. I'm confident, we had a very strong pipeline growth in August which is kind of unusual for us, but we did have a nice uptick in pipeline growth, so I generally feel like the two growth levers of our SaaS business are making progress. They certainly could go faster, but I feel like the trend lines are starting to turn in the right direction.
Scott Berg: Great and then one follow-up from me, Jim, can you talk just a little bit about operating cash flow this year in fiscal '16. Obviously, if you look at the P&L the last couple of years, there has been a lot of additional cost from the legal components, obviously with the PowerReviews divestiture, but as you look out in '16 most SaaS companies operating cash flow typically follows adjusted EBITDA at least relatively closely, trying to understand what that potentially looks like this year for you guys?
Jim Offerdahl: Yes, from an operating cash flow perspective, you should see it trending with EBITDA and as well as we're expecting working capital performance improvement specifically in receivables. We are starting to do well. You'll see even better metrics in receivables on a go forward basis and we've got minimum DOJ costs this year and basically trustee type cost that we're incurring, so you should see our OCF improve significantly this year.
Operator: Thank you. [Operator Instructions] Our next question comes from Stephen Ju from Credit Suisse.
Stephen Ju: So, Gene, in your prepared remarks you mentioned tests your running with your consumer review and segment data, so what kind of tests are these and who are you running these tests with? And second, are the client churns for the competitor primarily retailers or brand advertisers? And lastly, is Spotlights the main driver for the uptake in new products and is guess the buyer of this product primarily retailer or brand advertisers as well? Thanks.
Gene Austin: Okay, so quickly on Spotlights, I think Spotlights is -- so far it’s going to be applicable to both brands and retailers and the impact of Spotlights is that it provides enhanced SCO performance at the category level of a product or category level of shopping, which is where most searches take place. And so we are -- earlier we rolled it out in -- I think we've launched it in June formerly. We have a very nice pipeline, handful of customers, so far very pleased with what we have seen from both what customers are getting from result standpoint and how the pipeline growth is. The nice thing about Spotlights is it deploys very quickly. So for us as we sell Spotlights, the conversion to revenue is faster than probably any of our other products. On the -- I think you've asked about client churn and churn -- most of our dollar churn is associated with brands. As we've always said since we began, brands are the more volatile area for a number of reasons. Our retailer base -- we're very fortunate to this point our retailer base, which is the anchor of our network, has been very stable and overall very strong. So the brand side continues to be where most of the churn takes place. And again I'm comfortable with the progress and the trend lines that I’m starting to see from a churn standpoint. On the testing, we've done very limited tests with both -- Involving both a brand and a retailer and its impact is to basically test the efficacy of our data in attracting a segment of shoppers to take a variety of actions and whether they actually click on the page, convert, et cetera. And the performance of our data so far has been significantly better than what we've seen from other sources for ad-targeting. We've got more work to do but the indications are that we have the value in our data that we've always talked about. Remember that we as a company have been in the process of acquiring rights to the data inside the network. It was something that was not part of our standard contracts. We've been working on that, we've made tremendous progress with a number of well-known retailers and brands to acquire rights for the data. So, now we have a critical mass that we can actually do some nice testing and we're actually selling the opportunity to do shopper advertising or shopper targeting for in-market shoppers to certain segments. So, at this point we don't have material revenue to discuss on that but we are excited about what we're seeing and we are beginning to target certain members of our customer base to begin pilots, which would be low revenue but will give us continuingly more information about the strength of our data. One of the things I do want to comment on about our change in sales leaderships is -- one of the things that’s very important in -- and that I had mentioned I think in the past, but I'll reiterate is, as Bazaarvoice changes away from solely a SaaS business, it's important for us to have a go-to-market leadership that can help us a build a go-to-market around both our SaaS and advertising opportunities. So, as we see the products starting to evolve as I talked about. It’s also just as important for us to see our go-to-market strategies evolve as well. And that was another reason, a catalyst that a change was the right thing for all parties involved.
Operator: Thank you. Our next question comes from Brendan Barnicle from Pacific Crest Securities.
Brendan Barnicle: Gene, I wanted to follow-up on the dollar churn commentary again. In your prepared comments you said that you estimated that less than a quarter the dollar value of your contracts were still subject to stipulation. Can you clarify that because I thought that with the expiration of the PowerReviews deal that, that stipulation was over? So can you help me understand why some people are still subject to it?
Gene Austin: Yes, Brendan, let Jim talk to it's obviously a little bit of a complex dynamic, but I'll let Jim comment.
Jim Offerdahl: It's basically anybody with longer than a one year contract at July 8 of 2014 last year, that contract goes past July 8 of '15 this year, to the extent that the contracts extend beyond July 2015, they're still subject to that stipulation. So, only about a quarter for ASF, it's still subject to that and that ramps down quarterly for the next year.
Gene Austin: It drops each quarter.
Jim Offerdahl: Yes.
Brendan Barnicle: Great, that makes sense. And then Jim back on cash flow for the current quarter, did separating out discontinuing operations, did that have any impact on cash flow?
Jim Offerdahl: No, we don't really separate out cash flow for discontinued operations so, it's all reported into one.
Brendan Barnicle: Right, but if you had would that have made cash flow numbers look, perhaps better than what they came out at?
Jim Offerdahl: Probably not, because those operations are pretty much gone. We discontinued the operations so, basically when we did that accounting for that this can disc-ops it was for all the prior periods and those operation now have been discontinued, so minimal impact to this quarter.
Brendan Barnicle: Okay I just wanted to get clarification on that, and then lastly Gene on your plans for international, obviously you mentioned that a weak in the quarter, but you're optimistic for the remainder of the year, what is that you see in the pipeline there that makes you optimistic and how is the leadership that you have there, relative to this, the change in your sales head?
Gene Austin: What I'm most optimistic about international is that the sales teams that we have in place both in Europe and Asia Pacific have been stable and are building pipeline, in just in general and so I'm starting to see adoption of all our new products, not quite the rate of -- with the U.S. but I like my leadership team in Europe, I like my sales leadership team across Germany, France and the UK and Asia Pacific as well so I think and that's a dynamic we've just not had, I mean a year ago, we were coming off some changes, we’ve spent lot of last year kind of stabilizing the team and at this point at least into the first quarter we've been nicely stable, I can see progress in the pipeline in Europe and Asia Pacific, so that's why I'm optimistic and the customers that I've been over there to talk to are in a good spot, looking at new products. So just generally have a good feel for it, where I think international can go forth.
Operator: Thank you. Our next question comes from Kevin Liu from B. Riley.
Kevin Liu: Good afternoon. First question just in terms of pricing with the dollar churn issues behind you now and some focus on larger deals in the SMB channel, would you expect that the average revenue per client to start to bottom out here if not start to tick up? Or are there other factors that will continue to weigh on that?
Jim Offerdahl: Yes, Kevin this is Jim. Our ARPU was $140,000 in Q1. We do think that has a potential to start to flatten out and it's driven like you said by more normal competitive environment, change in the comp plan around SMB emphasizing dollars, we got more new products to sell, et cetera. So, time will tell but we think that might be flattening out.
Kevin Liu: Got it. And just specific to the media business, you had called out programmatic as one of the areas that struggled. Could you just talk about what percentage of your media revenues that represents? And to get to your 60% growth target do you need that to turn around materially over the coming quarters?
Jim Offerdahl: Kevin this is Jim again, we're not talking about -- yet about the splits of the media revenue. Media revenue in total is just too small. So, just in total it's relatively small, so to break it down any further is [multiple speakers].
Gene Austin: I think it is significant enough that we do need it to improve as the year goes on to hit that 60% that would be -- it is significant enough for that.
Jim Offerdahl: Got it. Thank you.
Operator: Thank you. At this time, we have no further questions. I would turn the call back over to Gene Austin for closing comments.
Gene Austin: Thank you for all for attending. We'll see some of you on the road here soon and we look forward to reporting to many of you again in 90 days. Thanks again.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.